Nathan Ryan: Good morning, and welcome to the Perseus Mining Investor Webinar and Conference Call. All attendees are in a listen-only mode. [Operator Instructions] I'll now hand over to Perseus Mining Managing Director and CEO, Jeff Quartermaine. Thank you, Jeff.
Jeff Quartermaine: Thanks very much, Nathan. And as you said, welcome to Perseus Mining's webinar to discuss our December 2024 Quarter Report. As usual, I'm joined on the call today by our CFO, Lee-Anne de Bruin. Welcome, Lee-Anne. The agenda for today's webinar is that firstly I'll provide an overview of what we at Perseus have achieved operationally during the December 2024 quarter, and then we'll hold a Q&A session to dive into any specific matters that have not been addressed to your satisfaction, either during the presentation or in the market release itself. For those of you who are listening to this webinar on your computer, you should be able to track the presentation visually on your screens when we get to that. Now, I'll keep my comments as brief as possible, but let me highlight a few points before we start the presentation. I say this every quarter, and at the risk of repeating myself, our team at Perseus has once again delivered another strong gold production result this quarter, with improved all-in site costs, and with the help of an elevated gold prices, we've expanded cash margins and increased free cash flow and cash balances. Now, what more can you ask for? This effort has led to a US$61 million or about A$97 million, increasing our cash and bullion balance at the end of the quarter. So that's brought the total to US$704 million or A$1.12 billion. This excludes the value of listed securities, but it is a balance after accounting for all manner of payments, including but not limited to dividend payments, share buybacks, et cetera, et cetera. I should also say that we had no debt at the end of the quarter. So this sum of money is a net cash position. Now in terms of the Australian gold sector at least and quite possibly globally, this operating performance and cash balance puts us in fairly select company, which does, I guess, beg the question of what more we need to do at Perseus to trade in the stock market on the same multiples as the rest of the sector. But that, I guess, is a subject for another day. During the quarter, we took a decision to invest in our CMA underground mine development at the Yaoure gold mine in Cote d'Ivoire, and we put the wheels in motion there with the appointment of Byrnecut, that's our underground mining contractor. Now Byrnecut needs no introduction. They are a standout mining contractor with a vast amount of experience in our part of the world, which is particularly important when you consider that our underground mine at Yaoure will be the first our underground operation in Cote d'Ivoire. And there will be some challenges in getting everything up to speed and I refer specifically to training our inexperienced Ivorian workers in how to work both safely and efficiently. Also during the quarter, we've advanced things at the Nyanzaga Gold project in Tanzania, although not quite as far as we had hoped by this time. Now having said that, we are still on track to produce first gold at Nyanzaga in January 2027, albeit a bit less flow in the schedule, but I'll speak further on this later in the presentation. So things are rolling along very nicely at Perseus. Production is strong. Costs are some of the lowest in the sector. Gold price is strong, and we're positioned for future growth, capital returns and further strong operating performance for years to come. So let's go through the presentation, and you will be able to see what I'm talking about. So just moving through. We have our cautionary statements, et cetera, and we'll give you an overview of the results. So what's occurred for the quarter, as I say, 132,419 ounces, which was 9% higher than the previous quarter. The all-in site cost is a touch over US$1,100 an ounce, which is actually down about US$74 an ounce on September. So that was a good effort. The average sale price was up US$181 an ounce to US$2,430 and that resulted in a cash margin, average cash margin of US$1,303 per ounce, or 24% than previous, which gave us a nice notional cash flow, US$173 million. And as I said earlier on, leaving us with a balance of US$704 or A$1.12 billion, up US$61 million on the previous quarter. Now, when you look at that in terms of the half year and calendar year, which is the guidance that we'd given, the production at 253,000 nearly 254,000 ounces for the half year was in the upper – the upper quarter of the guided production range. The all-in site cost was actually quite a bit below the bottom end of the cost guidance range at US$1,162 for the half year. Our average sale price was up as we – as the markets moved on. And as I said earlier on, cash flow and net cash have all moved along very strongly. So, what that means is that Perseus is very firmly on track to fund growth and to continue capital returns to shareholders. This chart that you can see on the screen actually says it’s all pretty well. I mean, it was a good quarter relative to the last couple of quarters where we've had a few operating issues, but the production is back on track, costs coming down, and as you can see, the gold price has been very strong. So, producing more gold in a rising gold price environment where the margins are expanding is extremely helpful to us. And I should say that into this current quarter, so into the March quarter of 2025, we’re about nearly one month through that, and everything is also continuing to track very strongly. In fact, we are ahead of our internal budget. So that's, things are going very well at the operations and the guidance, as I said, we've been plugging away towards the top end of the production guidance range for quite some time now and below the bottom end of the cost range. Now what that probably says is that in some senses we are a little bit conservative in our cost estimation, but it also says that we work darn hard at seeking what efficiencies we can when they are available. So, that's fairly pleasing. So, it means that what we're telling the market is pretty accurate on the way through and can be relied upon. I mean, just looking briefly at each of the mines, Yaouré, produced about 50% of our production for the quarter, 66,700 ounces. And that was up quite a bit on the September quarter, I think, and costs were down quite a lot. So, we reported last in the September quarter and also the June quarter, we were having some challenges moving the material that needed to be moved in order to get to the ore we were chasing. We have addressed those issues and now things are comfortably back on track. So, very pleased about that. That's taken a lot of work from a number of our people on the site and well done to them, because we are back on track now. What it's meant is that well, it's the same thing, our notional margins are very, very strong. The one issue that we do have to look at closely, we've moved into the Yaouré open pit just very recently and also we're at the extremities of the CMA pits. So, during the quarter we had a reconciliation on grade – an issue with reconciliation on grade. Now we are – meant we were over on tonnes down on grade, but overall over on contained ounces. We do have a pretty thorough investigation going on to understand that negativity on the grade reconciliation. We think it's probably because the Yaouré – the structure in the Yaouré pit is actually quite complicated in our grade control techniques and the life need a little bit of upgrading to deal with that new environment. But by and large, it's going very well. And as I said earlier on, we’re motoring ahead on the C&I underground, getting ready for the contractor to come on site there. Edikan has been going extremely well also. So it represents about 37% of our production now, just a touch under 50,000 ounces for the period, and that is slightly out in the previous quarter. I think it's really pleasing about Edikan is that the costs are consistently low at all-in site costs around $1,000 an ounce makes Edikan one of the lower cost operations in the world, I would say, which is not something that too many people would have observed eight or nine years ago. Reconciliation is good. We started operations in the Nkosuo pit fairly recently, and these will be fully ramped up in this current half year as the AG and Fetish pits become depleted. So one of the things that we are doing around Edikan is looking very hard at a number of opportunities to extend the mine life beyond current projections and we'll see how those things go over the next couple of months. Sissingué has been an interesting one. I mean, we came out of a fairly – very, very wet season. Production is down. We're into mining marginal ore deposits at the present time. But we work pretty hard, and we're still making cash from the business. So that's encouraging. We've made very good progress with the government in terms of mining conventions and tax arrangements on Fimbiasso, and we believe Bagoé as well, although they're not fully papered. And with everything moving ahead there, we hope to be able to move into constructing facilities for the Bagoé satellite in the next couple of months. So Sissingué, it's a small contributor, but it's a fairly good contributor and we keep moving along with that one. So looking forward, the guidance for the next six months is a little softer than it has been this period, but it's nothing to be concerned about. It's just the way mining is occurring in the sequencing, et cetera, et cetera. But we're looking for 215,000 to 250,000 ounces for the half year at $470 million to $505 million for the full financial year and costs fairly healthy as well. There is a bit of a – there is a significant pickup in costs at Sissingué and that relates to waste stripping on some of the satellite pits, where we're expanding. I think Stage 4 Sissingué and Fimbiasso west. So there is some stripping – additional stripping costs going in there. And of course, Edikan is moving along too, and we've got the ramp-up and the step down going on. So that's impacting costs at Edikan. But even so, they're still in fairly reasonable condition. Financially, as I said, the balance sheet is exceptionally strong at US$704 million, no debt, a decent kind of increase cash flow-wise, Yaouré is contributing the bulk of it, it's about 61%. So that's clearly very, very important for us. And another reason why we're very pleased about the fact that operationally, we're well and truly back on track there, but that is looking reasonably healthy. We also make the point of differentiating between what we call our all-in site costs and what others call all-in sustaining costs, you can see that, in fact, at the present time, our all-in site cost, the one we report is slightly higher than what would be an all-in sustaining cost if we use that particular convention. So in fact, the picture is even slightly better than we might otherwise have been presented – presenting depending on which of these approaches that you take. But generally speaking, the financial situation is looking pretty good. In terms of organic growth, as I said, the CMA underground mine decision was taken, and we’re pushing ahead with that Byrnecut, we expect will be on site of Yaouré in April. And we’re working very hard on on-site operational readiness as we speak. And making sure that we have a very smooth integration of the new underground operation with our open pit operation and make sure that the surface infrastructure that’s required to support the underground operations is all in place and operating before we get going. I did mention that we have -- we will be winding down in the CMA pit as we go. And we’re moving more into the Yaouré open pit as time moves on. But things are pretty much under control at Yaouré, and I should say we did put a release into the market yesterday if you’d like to see a little bit more detail around the -- of the contemplating there. Please refer to that release that came out yesterday. In terms of Nyanzaga, I mean, this is really, really important project for us. I said earlier that we believe the schedule to deliver first gold in 2027 is still very much intact, even though we haven’t got to the point of making a formal final investment decision on this development. Now just to put this in perspective, we are negotiating with the Government of Tanzania to clarify or modify specific clauses within framework agreement between the government and the company. And we are at a very advanced stage on this, although it’s not complete. Now the importance of this can be seen quite vividly around Africa, where some companies have come into conflict with their host governments over whether they paid taxes or whatever the case happens to be. We believe that it’s very, very important given the longevity of the Nyanzaga project that we start the project with both the government and ourselves in full quarter and what the governing regulations and arrangements mean. So we want to get this right. We want to get a complete understanding so that we can work harmoniously with our host government going forward. And we believe that, that is a critical prerequisite for taking that final investment decision, albeit we’re not too darn far away from it, and we are anticipating it occurring. And while this is going on, we’ve been very busy both on-site and off-site with the series of concurrent work streams that will allow us to go straight into full-scale development in the very near future as soon as that decision is made. So we’re working on the resettlement action plan, the housing, et cetera, doing quite the early works in construction capability preparation on the site and in the camp and the like. The feasibility work is continuing, and we’re doing a fairly fulsome infill drilling program around Nyanzaga to make sure that we understand that ore body as well as we can possibly do and also have the data that’s required to do a comprehensive or to finalize that comprehensive feasibility study. So in terms of geotechnical, et cetera, et cetera, so that we get our pit slabs right from the beginning. And of course, the front-end engineering and design, which is pretty well underway. We’ve got a fairly good idea of what the capital is going to cost, and we'll be publishing all those things before too much longer. So Nyanzaga is going along really well. We're also working on an extra – from an organic growth perspective on drilling and the like around the various sites. I mean, the point before that and Edikan, we're particularly looking – well, actually – and the same applies to Sissingué, we're working fairly hard looking at opportunities to extend the mine lives of both the Sissingué and the Edikan mines by potentially mining satellite deposits and a near existing infrastructure or potentially revisiting some pits that were depleted some time ago. But when they originally designed were designed at a very much lower gold price. Now clearly, the gold pricing environment has changed. And that does afford us the opportunity to go back and have a look at those pits and see whether a further cutback is warranted. Of course, the downside of that is that it does bring higher operating costs, and that's something that we, as a company, are debating as to whether the incremental ounces at higher costs are worth our while or not, but that's something that we'll decide in the fullness of time. Meyas Sand, we're working up there too, in Sudan. I mean, the fact is that hostilities continue in the country. But around the site where we're located, that isn't the case and the guys have been doing a bit of work up there, getting a much better handle on that ore body and what is rounded in reasonably near proximity. One of the very positive things that has occurred during the quarter is that the Minister for Mines has approved the renewal of the block for another four years as we do, that's something of a formality, but it does show that the government is still involved and very supportive of what we're doing. And we're very hopeful that before too much longer we'll be in a position to have a close look at this operation, and see how it fits into our future work plans. I mentioned exploration around Tanzania – in Tanzania. We are doing quite a lot of work there, as I said, around on the existing ore body and the like, looking at geotech and metallurgical drilling as well as infill drilling. And that's giving us some reasonable results. I think we did put out a release in December that articulated a few of those results, and it does point to a pretty decent future for us there. Now in terms of sustainability, I mean sustainability has been a very, very important part of our business for a long time. In fact, I was talking to somebody yesterday and they were asking me what the change in approach to these sorts of things in the U.S. means for us and my response is that it means absolutely nothing. It has no impact on us whatsoever because Perseus is a company has been putting a great deal of effort into the ESG space for a very long time. We may not have always called it ESG, but we've certainly put a lot of attention on safety, community and environment, and of course, governance given that we're a listed company. So there's no change as far as we're concerned, we're continuing to work very hard in this space, and we're delivering some pretty good results because if you look at the safety, for instance, the 12-month rolling tripper at the end of the year was 0.66, which is an exceptionally good result in terms of community contributions were still contributing quite a lot to – well, a very decent amount of money to host governments, local national employment is very healthy as it's local procurement. And we're working very carefully in the communities to make sure that we leave a decent contribution behind them in Cote d'Ivoire we're funding a road [ph] development that's making quite a material difference to our local of communities. On the environmental side, we work very hard there as well. So zero incidents around tiny exams or anything like that. Actually, one thing that is relevant is that during the course of the quarter we have done – completed an update of our environmental and social impact statement at the Yaouré mine. This was part of the approval process for the underground and this process did involve a lot of community consultation, cooperation with local governments and traditional leaders. And those consultations went exceptionally well, which is pretty to – a clear indicator of the fact that our relationships are strong in that area. So that pretty much is the end of the presentation. Just in conclusion, I might make a few summary points. As I said at the start of the call, we’ve had another good quarter on all fronts and that’s something that’s pretty pleasing. And as I’ve also said, pleasingly, our work has been conducted in a safe manner, a little ahead of our targeted safety centers, but materially better than many of our peers around the world, notwithstanding the fact that our business is conducted exclusively in with so called lesser developed countries on the African continent. And if I may say so, a 12 month rolling TRIFR of 0.66 is excellent in any one of these language. Looking forward, as I said, our production and cost guidance for the six months to June 2025 is predicting another solid performance, albeit one that’s slightly softer than the current six month period. As I said, this is as much a function of where we are in the pits and anything else. So the stripping – extra stripping at Sissingué, et cetera, et cetera, the ramp up and ramp down at Edikan, bringing Nkosuo online, all of those things have an impact on the guidance for the period. But none of this is unusual. It’s simply a part of delivering on our mine plans, which from time to time go up and down. Now, speaking of mine plans, we’re about to enter into the part of our annual planning cycle where we will be updating the life of mine plans for each of our operations. That obviously includes Yaouré, with inclusion of the underground operation for the first time, and hopefully the Nyanzaga operation as well. Now, early in the June quarter, we expect to publish an updated long-term production and cost forecast for the Perseus Group that’ll be based on these revised plans. And I’ve no doubt that at this stage it’ll provide further clear evidence that our corporate strategy of producing 500,000 to 600,000 ounces of gold a year at a cash margin of no less than, but usually a lot more than A$500 an ounce will continue for some time into the future without bolting on any new operations or the like through M&A activity. Now next month we will be reporting our Group’s financial performance for the six months to 31 December, 2024, and our team under Lee-Anne’s guidance is busily working with our auditors. So I don’t want to give anything away prematurely, but I must say I am looking forward to these results being released as they will demonstrate the economic benefit of being a low cost gold producer in a rising gold market environment and producing consistent amounts of gold quarter-on-quarter. So that will be something for later in February. This I guess leads to the matter of capital management and our strategy for that. Now, as has occurred in the past, when we release our financial results at the end of February, we will also be announcing an interim dividend that will provide investors with a reasonable annualized dividend yield. And we will also continue to buy back stock under our maiden share buyback plan that involves buying up to A$100 million of our stock that was announced with our results last year. We have been somewhat constrained in the last month or so by a couple of blackout periods and that will occur again. It's occurring right now and will occur again around the financial results this quarter. But – and it's made it difficult to trade as much as we wanted to. But once we get clear of this, we'll be able to buy more stock provided that our pricing targets are met. So far, the scheme has worked extremely well for shareholders, particularly over the Christmas period when volumes were down and the markets are a little bit volatile, and we were able to provide support for the share price quite successfully, which is what our shareholders want, as I understand. Also looking forward, the concept of Perseus maintaining a high-quality diversified asset portfolio. It will remain very important to us. We believe that through engaging in multiple operations in multiple countries, we're able to remove a lot of the volatility that comes with operating in the African partner. And importantly, this means that as an investor who holds shares in Perseus, you can be reasonably confident that when you wake up every day that no matter what's happened overnight, Perseus will remain in good shape and your investment in Perseus will be the same. So what this means is that we're going to continue to look at market opportunities as they arise. But I have to say, I do have to shake my head at times at the valuations, so some of our friends in the equity markets apply to their favorite projects. It's fairly clear that their job is to promote a story and not to ensure that shareholders' funds are prudently deployed, which is the case for Perseus. So, we will remain receptive for two ideas and if the right value creative opportunity comes along. And now whether this happens to be an acquisition or a divestment, whatever the case happens to be, but the point is that Perseus is in a great position to execute and to continue the growth journey that we started some time ago. So as a company, our focus on generating material benefits for our stakeholders, including our host comments, communities, employees, providers, goods and services and very importantly, our investors is as strong as ever and allowing us to continually achieve the stated mission of our company, something in which we're very proud of. Finally, in conclusion, I do once again want to acknowledge the wonderful contributions made by all of the men and women that make up my colleagues on the Board at Perseus management operating teams in now it's five countries in which we operate. They've done a fabulous job. And there's no doubt that as a team, our people who are supported very strongly by their families, I might say. They continue to do an outstanding job. And I sincerely thank you all. I know many are listening to this call today on behalf of all of our shareholders for all of your efforts in helping us to continue to deliver on our promises. So that about brings things to close at this point from my perspective. Thank you for your attention today, and we're happy to take any questions that you might have at this stage of the game. Thank you very much.
A - Nathan Ryan: Thank you, Jeff. [Operator Instructions] Your first question comes from Kate McCutchen at Citi. Please go ahead, Kate. Just unmute Kate. Please go ahead.
Kate McCutchen: Hi good morning, Jeff and Lee-Anne. Am I audible now?
Jeff Quartermaine: Yes, you do. Fire away, please.
Kate McCutchen: Yes. Happy New Year.
Jeff Quartermaine: Thank you.
Kate McCutchen: Two questions, both on the CMA underground. With the reconciliation of Yaouré if you're undergoing on grade, is that something you want to thought through before you start the underground? I imagine it’s important if you are mining, yes?
Jeff Quartermaine: No, it will be sorted. It's not an unsolvable problem at all. I mean, there are two issues. One is that on the CMA pit where we're mining. They have been mining in the quarter. It's right at the northern end of the ore body. And that has always been a little bit flaky when you're on the fringes. We'll be back in the middle of that fairly shortly. So that's one point. The second point is the structural complexity at Yaouré has meant that we need to adjust our grade control methods, and we've already done that actually. We had a pretty deep dive into all this a couple of weeks ago and things are changing. So yes, absolutely, we do need to get that right, irrespective of whether we're going into the underground or not.
Kate McCutchen: Okay. Got it. But it's a specific [indiscernible]. Okay. And then you said cutting the decline in Q1 of the FY or midyear, I think, when do we expect first ore, and how should we think about the ramp-up?
Jeff Quartermaine: Well, it will go straight into ore pretty much. I think the – we get to commercial production, correct me if I'm wrong, Lee-Anne, I think it's about…
Lee-Anne de Bruin: April 2027.
Jeff Quartermaine: Yes, April 2027, that's right. Yes. So we'll be getting small quantities – smaller quantities of ore in that first period, but then we get into the main – we hit our steps around that time.
Kate McCutchen: Okay. Got it. And just a quick one for Lee-Anne. Can you just remind me how far through the buyback you are?
Lee-Anne de Bruin: We have, at the end of December, purchased about US$5 million. We've done a fair amount in January as well. But as Jeff alluded to, we've sort of been progressing as we came through blackout periods.
Jeff Quartermaine: I think we're about 12% through when we had to stop buying in the lead up to the quarterly.
Lee-Anne de Bruin: That's right.
Kate McCutchen: Okay, perfect. Thank you.
Jeff Quartermaine: Thanks, Kate.
Nathan Ryan: Thank you. Your next question comes from Levi Spry at UBS. Please go ahead, Levi.
Levi Spry: Good morning. Jeff and team have a New Year. I hope you can hear me?
Jeff Quartermaine: Yes. Go ahead.
Levi Spry: Yes, good one. Nice one. Thanks. A couple of rapid fire [ph] questions, please. So Edikan production guidance for the second half, can you just talk me through the drivers there, I assume it's great, but it is a bit weaker half-on-half.
Jeff Quartermaine: Well, we're ramping up in Nkosuo, which is largely an upside deposit. And as you know, the Edikan Mine is other than process facility there is really designed for fresh ore. And so we're seeing lower recoveries coming through from in Nkosuo. So that's pretty much it. So we've got this ramp-up of mining and a ramp down in the AG and Fetish pits.
Levi Spry: Okay, yes, thank you. And just following up on the reconciliations point across the operations, I guess. Is there anything else that you want to call out there? I do note that you constantly published these numbers. What are the key takeaways from that across the three operations? Is it that just your mining in the extremities of those models?
Jeff Quartermaine: That is the case, as I said to Kate just before, there were a couple of specific circumstances at Yaouré, and it does make up the bulk of production. But if you look at the reconciliations on Edikan and Sissingué, they're pretty good actually. I think one of the things that does impact on these things, and I mean this is a controversial statement with some of our guys, but we've used multiple indicator kriging techniques for all reserve estimation and the like right across the group, and that's fine in a lot of instances – most of the instances – in lot of instances. In some specific areas, it's probably not ideal where a more constrained model might work. So it's a fairly esoteric kind of subject and it's in the eye of the beholder. What it tends to do is it gives you slightly more tonnes at slightly lower grade, but usually higher gold containing. So that's been the experience probably for the last, I don't know, six or seven years actually if you go back right through since we started reporting reconciliation in detail.
Levi Spry: Yes. Okay. Thank you. And then I guess just finally on Nyanzaga and then thinking about the balance sheet. Can you just sort of flesh out the next steps at Nyanzaga, so understand you're still negotiating with the government on modeling some of those key clauses. But what are the key elements for us to watch there? And how do we think about – how you're thinking about the balance sheet through the construction phase of that project?
Jeff Quartermaine: Well, look, as we've said before, the capital cost is in the range of $450 million to $500 million, something in that range. We know the number, but let's just say it's in that range. We've got 700-and-something odd million cash on the balance sheet today. So we can fund the entire development from the balance sheet without generating one more cent from here. So I don't think there's any concern around our capacity to fund. What we are looking at doing is funding it into the country through – like – through any company loans. So we won't be going to the commercial banking market or anything along those lines. For this it should be pretty step-forward, but now that things go well, Lee-Anne should probably chime in here because Lee-Anne's taking the lead on our discussions with the government and doing it pretty fun. Lee-Anne, do you want to make any comment around that?
Lee-Anne de Bruin: Yes. I think leave other discussion with the government are progressing well. However, we want to make sure we've got everything that sit-down [ph] before we proceed. So that's sort of the focus over the next couple of weeks. From a funding perspective, we've got our debt facility, which we will look at that either refinancing that alternatives but we're well financed to do in the Nyanzaga project over the next two years.
Jeff Quartermaine: But just on the, Lee-Anne, our debt facilities at a corporate level, so the money would be drawn on that and then maybe channeled into the country, but we won't be funding at a local level, which is one of the issues that does cause some delays for other people.
Levi Spry: Got it. Thank you.
Jeff Quartermaine: Thanks. Thanks for your time.
Levi Spry: Good.
Operator: Thank you. Your next question comes from Richard Knights at Barrenjoey. Please go ahead Richard.
Richard Knights: Hi, Jeff, Lee-Anne thanks for the call. Just a quick one on CMA underground, I noticed you pushed back the timeframe for the commissioning of the contractor by about a quarter in the announcement yesterday. I mean, has that put any pressure on your sort of view of gold production into the second half of this year given you mentioned you're going straight into ore?
Jeff Quartermaine: No. Actually, I'm surprised about that, I'll have to have a look at the release because they've always been mobilizing March, April and then cutting those portals in July-ish, that's always been...
Richard Knights: Okay. I think on the release, it said mobilizing in Q3, sorry, or September quarter. That's right?
Jeff Quartermaine: Oh no, well, that's wrong.
Richard Knights: Okay.
Jeff Quartermaine: I have to check that. No, its March, April – April this year, so in a couple of months. Look, they're already actually working with our guys on a whole bunch of things. So, the contract is winding up as we are too, we've been recruiting various pool. We've got a lot of people in our organization who have done serious underground mining at other companies around the world. So, we've got a lot of internal individual expertise, not so much as a company. We are supplementing that bringing in selected people. And for us, going forward, the key part is going to be training our local workforce, I think, in making sure that they can deliver the productivity that we need to make this work worthwhile and to do it in a manner that's safe. So that is the challenge. This is the first big underground operation in Cote d'Ivoire. So, it's a bit of a risk in a way, but I'm very sure that our friends at Byrnecut have done an exceptional job on many other sites throughout Africa. So, it's not a new territory for them. They're very well versed in working with people who are less experienced say, than a crew from WA.
Richard Knights: Sure. Okay. Thanks. And just to push you on, I think Levi asked about this, the production profile at Edikan, obviously, it’s coming off a bit in the second half as you open up Nkosuo. Is the grade profile at Nkasuo fairly consistent over the two years? Should we be thinking about the second half is, sort of a baseline for production there over the next couple of years?
Jeff Quartermaine: Look, I haven't got the life of mine in front of me, but it's recently consistent, I think, I mean, as I said, the issue isn't great here, it's more recovery. And then – and towards the end of the, the end of the thing, of course, blending it with other – getting the blend right is super important, actually, because what we will be doing is blending oxide from Nkosuo with fresh material from stockpiles and the like and making sure that we get those blends correct in order to deliver throughput rates and deliver targeted recoveries. That is the challenge for us. So, it's not just setting to get all the stuff. We're going to have to work it. And that the guys are doing an exceptionally good job at Edikan. I mean it is quite remarkable when I reflect back on where we were some years ago, the run time of our mill is exceptionally good throughput rates are pretty good. Recoveries are always good, depending on the material that you've got. So as an operation, it is actually a very good operation.
Richard Knights: The thing is that…
Jeff Quartermaine: [Technical Difficulty] 2011 we are in the latter part of its life. I mean what we'd ideally love to do is to find some more deposits not too far away so that, we can keep that operation going for a lot longer because we've invested heavily in knowing how to work in Ghana. We've invested in our workforce and the opportunity there is terrific if we can keep more up to the mill, and that is the challenge.
Richard Knights: Okay, great. Thanks. Thanks, both.
Nathan Ryan: Thank you. Thank you, Richard. There are no further questions at this time. So, I'll now hand back to Jeff for closing remarks.
Jeff Quartermaine: Okay. Well, thanks, Nathan, and thanks, everybody, once again for joining us today. Not too much more to say that hasn't already been said. It's been a great quarter. And for those of you who are our shareholders, very well done on your choice. To those of you who are contemplating it, I would suggest you have a really good look and get by with your ears pinned back. Thank you very much. We will talk to you very shortly when we come out with our financial results in about a couple of weeks time. Thank you.